Operator: Ladies and gentlemen, thank you for standing by, and welcome to the First Quarter 2015 Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, Thursday, May 7, 2015. And I would now like to turn the conference over to Don Walker, Chief Executive Officer. Please go ahead, sir.
Donald James Walker: Thank you. Hello, everybody, and welcome to our first quarter 2015 conference call. Joining me today is: Vince Galifi, Chief Financial Officer, and Louis Tonelli, Vice President, Investor Relations. Yesterday, our Board of Directors met and approved our financial results for the first quarter, March 31, 2015. We issued a press release this morning for the quarter. You will find a press release, today's conference call webcast and our updated quarterly financial review and the slide presentation to go along with the call, all at the Investor Relations section of our website at www.magna.com. Before we get started, just a reminder that today's discussion may contain forward-looking information or forward-looking statements within the meaning of applicable securities legislation. Such statements involve certain risks, assumptions and uncertainties, which may cause the company's actual future results and performance to be materially different from those expressed or implied in these statements. Please refer to today's press release for a complete description of our Safe Harbor disclaimer. The first quarter of 2015 marked a solid start to the year for Magna. The strengthened U.S. dollar negatively impacted our reported sales and earnings. However, our operations performed well. All 4 of our geographic reporting segments posted increased year-over-year adjusted EBIT margin percentages. North America posted an adjusted EBIT percentage close to 10% once again. In Europe, we had a 4% margin in the quarter, while in Asia, adjusted EBIT margin rose to 9.7%. And our Rest of World segment, which currently represents our South American operations, posted an adjusted EBIT loss of only $4 million. We announced last month that we had signed an agreement to sell substantially all of our interiors operations to Grupo Antolin. The purchase price for the operations, excluding certain assets, is approximately USD 525 million, subject to closing adjustments. Note that we are talking about interiors, not our seating operations, which we operate as a completely separate global operating unit. The transaction includes 36 manufacturing operations and about 12,000 employees. In 2014, sales through those operations totaled approximately $2.4 billion. The transaction is consistent with the strategy that we have been communicating for some time now. We are refining our product portfolio to focus on certain key areas of the vehicle. We've taken other similar portfolio actions recently. Last year, we sold a noncore composites business that had a large amount of heavy truck and nonautomotive business. We announced earlier this year that we have reached an agreement to sell our battery pack business to Samsung. The European and North American element of this business, which represent the larger portions, closed earlier this week. At the same time, we are expanding in certain core product areas. Earlier this week, we announced that we had agreed to form a metal-forming joint venture in China, in which we hold a 53% stake. Our Chinese partner in the joint venture currently supplies body-in-white components and is a key supplier to Changan Ford. The partner will contribute 3 manufacturing facilities, and we will contribute one of our new operations in the joint venture. We expect this transaction to lead to further growth in China, a key growth region for us. Many of you have heard us talk about our key priorities of innovation, world-class manufacturing and leadership development. More recently, I have been focused on accelerating our innovation process at Magna. Swamy Kotagiri, our Chief Technical Officer, broadly highlighted our activities in innovation today at our Annual General Meeting. If you didn't see this presentation and the presentations of the 4 innovation experts from across Magna this morning, I encourage you to watch the webcast replay on our website. We have a lot of exciting new innovations that we're bringing to market. It's gratifying to see Magna receive industry recognition for some of our innovations. We recently won an Automotive new PACE Award for our PureView seamless slider window, which features on the new F-150 pickup from Ford and which has gained traction with other OEMs as well. And the Center for Automotive Management, together with PricewaterhouseCoopers, recently presented Magna with an award for being the most innovative supplier in the drivetrain technology category. This award recognized our FLEX4 all-wheel drive technology with significant fuel consumption savings as well as our MILA Blue concept car presented in Geneva. The MILA Blue is a natural gas-powered A segment lightweight vehicle that produces less than 49 grams of CO2 per kilometer. We'll continue to drive new innovations and expect to be a key supplier of the car of the future for our customers. With that, it's my pleasure to pass it over to Louis.
Louis Tonelli: Thanks, Don, and hello, everyone. I'd like to review our financial results for the first quarter ended March 31, 2015. Please note all figures are discussed today in U.S. dollars. The slide packet accompanying our call today includes a reconciliation of certain key financial statement lines between reported results and results excluding unusual items. We had no unusual items in the first quarter of 2015. In the first quarter of 2014, we recorded restructuring charges entirely related to our European exteriors and interiors businesses and a charge to income taxes resulting from tax reform in Austria. Together, these reduced operating income by $22 million, net income attributable to Magna by $52 million and EPS by $0.12. The following quarterly earnings discussion excludes the impact of unusual items. In the first quarter, our consolidated sales declined 7% or $631 million related to the -- relative to the first quarter of 2014 to $8.3 billion. The weakening of certain currencies against our U.S. dollar reporting currency, in particular the euro and the Canadian dollar, had a significant negative impact on our reported sales for the first quarter of 2015. Foreign currency translation reduced our sales by approximately $880 million as compared to the first quarter of 2014. Excluding the impact of foreign currency, our total sales increased 3% in the first quarter of 2015 compared to the first quarter of 2014. Reported North American production sales increased 1% in the first quarter to $4.5 billion despite the marginal decline in vehicle production to 4.1 million units. The increase is a result of the launch of new programs, partially offset by lower production volumes on certain programs, the weakening of the Canadian dollar against the U.S. dollar, net divestitures and net customer price concessions. Reported European production sales declined 17% from the comparable quarter, while European vehicle production declined marginally to 5.1 million units. The decline was a result of the weakening of the euro and Russian ruble against the U.S. dollar, lower production volumes on certain existing programs, programs that ended production during or subsequent to the first quarter of 2014 and net customer price concessions. These factors were partially offset by the launch of new programs. Asian production sales increased 10% or $40 million to $421 million over the comparable quarter, primarily as a result of the launch of new programs in China. This was partially offset by lower production volumes on certain programs, the weakening of Chinese and South Korean currencies against the U.S. dollar, programs that ended production during or subsequent to the first quarter of '14 and net customer price concessions. Rest of World production sales declined 17% or $26 million to $131 million for the first quarter, primarily as a result of lower production volumes in certain programs, the weakening of the Brazilian real and Argentine peso against the U.S. dollar and programs that ended production during or subsequent to the first quarter of '14. These factors were partially offset by the launch of new programs, particularly in Brazil, and net customer price increases. Completed vehicle assembly volumes declined 23% from comparable quarter. Assembly sales declined 28% to $584 million, largely due to the negative impact of the weakening of the euro against the U.S. dollar and the decline in assembly volumes for the MINI Countryman, partially offset by an increase in assembly volumes for the Mercedes-Benz G-Class. In summary, consolidated sales, excluding tooling and engineering and other sales, declined approximately 7% or $621 million in the first quarter, but actually increased modestly if you exclude approximately $800 million associated with foreign exchange. Tooling, engineering and other sales declined marginally from the comparable quarter to $559 million. The net decline largely relates to foreign exchange translation. Gross margin in the quarter increased to 13.8% compared to 13.4% in the first quarter of 2014. The increase in gross margin percentage was primarily due to productivity and efficiency improvement at certain facilities and a decrease in complete vehicle assembly sales, which have a higher material content than our consolidated average. And these items were partially offset by operational inefficiencies at certain facilities, lower recoveries associated with scrap steel, higher launch cost, an increase in the proportion of tooling, engineering and other sales relative to total sales that have low or no margin and a greater amount of employee profit sharing. Magna's consolidated SG&A as a percentage of sales was 4.3% for the first quarter of '15 compared to 4.7% recorded in the first quarter of '14. SG&A declined $70 million to $355 million in the first quarter of '15, primarily due to the weakening of certain currencies against the U.S. dollar and the elimination of stock and company [ph] fees at the end of 2014. Our operating margin percentage was 7.6% in the first quarter compared to 6.7% in the first quarter of 2014. This increase substantially relates to the higher gross margin and lower SG&A percentages, partially offset by higher depreciation percentage of sales and higher interest expense. In Q1 2015, our effective tax rate was essentially level at 26.5% compared to 26.4% last year. Lower favorable audit settlements and an increase in permanent items was largely offset by a reduction in losses not benefited in Europe, South America and Asia. Net income attributable to Magna increased $20 million to $465 million for the first quarter of '15 compared to $445 million in the comparable quarter. Diluted EPS increased 12% to $1.12, a first quarter record, compared to $1 in the first quarter of 2014. The increase in diluted EPS was a result of an increase in net income attributable to Magna and a decrease in the weighted average number of diluted shares outstanding during the quarter. The decrease in weighted average number of diluted shares outstanding was primarily due to the repurchase and cancellation of common shares pursuant to our normal course issuer bids. I'll now review cash flow and investment activities. During the first quarter of '15, we generated $652 million in cash from operations prior to changes in noncash operating assets and liabilities and invested $358 million in noncash operating assets and liabilities. In the quarter, investment activities amounted to $323 million, including $280 million for fixed assets and a $42 million increase in investments and other assets. Our balance sheet remains strong with $1.1 billion in cash as of March 31, 2015. We also have an additional $2.2 billion in unused credit available to us. We're currently at 0.8x adjusted debt to adjusted EBITDA and continue to target reaching the range of 1x to 1.5x by the end of this year. Now, I'll pass the call over to Vince.
Vincent Joseph Galifi: Thanks, Louis, and good afternoon, everyone. I'll review our updated 2015 full year outlook. Beginning with the reporting of our second quarter results, we will disclose the interiors business that we are selling to Grupo Antolin as discontinued operations in our financial statements. From an income statement perspective, we will be one-lining the results of the interiors operations. Today's outlook has been prepared on a basis consistent with this upcoming disclosure. We're currently carrying out the historical carve out [ph] financial statements for the interiors operations that are included in this transaction. We will be in a position to disclose more historical financial information regarding the business in our second quarter release. However, we are not in a position today to provide any more than the historical sales amounts that we have included in our subsequent events note. Turning to our outlook specifics. We expect 2015 North American light vehicle production to be approximately 17.4 million units, consistent with our February outlook. In Europe, we now expect 2015 total European light vehicle production to be approximately 20.2 million units, down from about 20.4 million units in our February outlook. The decline largely reflects lower expectations for vehicle production in Russia this year. Compared to our outlook in February, we're now assuming a slightly higher Canadian dollar and lower euro relative to our U.S. dollar reporting currency. We have lowered our North American production sales range relative to our previous range, reflecting the removal of approximately $900 million related to interiors, offset by [Audio gap] improved mix and the assumed stronger Canadian dollar. We've lowered our European production sales range, largely reflecting the removal of approximately $1.2 billion related to interiors and the impact of the weaker assumed euro. We have lowered our production sales range in Asia, reflecting $100 million of interiors business coming out and negatives associated with currency, volumes and mix. The net result of these factors is a lowering of our consolidated production sales range to $26.4 billion to $27.7 billion. Our expected assembly sales also declined, largely reflecting the lower euro assumption. Implicit in our total sales outlook is a decline in our expected tooling, engineering and other sales compared to our previous outlook. This largely reflects the removal of approximately $400 million related to our interiors business. With the exclusion of the interiors business being sold, forecasted sales in 2015 of approximately $2.6 billion, our total sales range now is $30.8 billion to $32.5 billion, down $2.3 billion at the top and bottom of the range from our previous outlook. We're now expecting our consolidated operating margin percentage for 2015 to be in the high 7% range for 2015 compared to the low to mid-7% range in our previous outlook. Note that operating income for Magna represents a pretax income before unusual items. The increase in the forecasted operating margin percentage largely reflects the removal of interior -- of the interiors business from our outlook. We expect our income tax rate to be approximately 26% compared to the 25% to 26% range in our February outlook. So all in all, lower sales outlook, improved margin outlook and no significant impact on the bottom line as a result of these changes. For the full year 2015, we expect fixed assets spending to be in the $1.3 billion to $1.5 billion range, down approximately $100 million from our February outlook, essentially due to removing capital spending for the interiors operations being sold. Lastly, we expect restructuring costs for 2015, which are entirely related to European operations, to be approximately $15 million before tax. This is down from $40 million previously expected, largely due to a deferral in the timing of restructuring one facility. Next, I would like to provide some color on our expected segment margin percentages of total sales, reflecting our updated outlook for 2015 and adjusting for the interiors operations in 2015 and '16. For North America, we expect EBIT margin percentage of total sales to remain at approximately 10% for both 2015 and 2016. For Europe, we now expect the EBIT margin percentage to be in the low 4% range for 2015 and in the 4.75% to 5.25% range for 2016. This largely reflects the removal of the interiors operations from our numbers. Our interiors operation in Asia is relatively small. Therefore, we are not revising expectations from those previously disclosed. We expect 2015 EBIT margin percentage in Asia to be approximately similar to that reported in 2014 and continue to expect to be in the 8.75% to 9.75% range by 2016. Lastly, we were recently named Forbes Magazine's Most Trustworthy Large Cap Company in America, ranking #1 among large cap companies. Forbes screens more than 5,500 publicly traded North American companies to identify those that most consistently demonstrate transparent accounting practices and solid corporate governance. This is great recognition of the efforts we have made in corporate governance in recent years and of our continued focus on transparent financial disclosure to investors. This concludes our formal remarks. Thanks for your attention today. We'll be pleased to answer your questions at this time.
Operator: [Operator Instructions] And our first question comes from the line of John Murphy with Bank of America Merrill Lynch.
John Murphy - BofA Merrill Lynch, Research Division: Just a first question on the guidance and really on the top line and the margins here. I mean, if we think about it, there's 3 pressures on the top line: The sale of interiors; ForEx, which has gone against you a bit; and then a slightly lower production volume in Europe for Russia. Yet when you adjust for all those [ph], it looks like you actually had a net increase absent that. What is giving you sort of that better expectation for sales through the course of this year than you had before?
Vincent Joseph Galifi: It's Vince. I think you need to look at the various segments. So the very first thing that we've done, as you've clearly identified, is to eliminate from our previous forecast the impact of the interiors sales. So when you back that out of North America and you look at what's left, overall from our previous forecast to this forecast, we're seeing reported U.S. dollar sales increasing. And that's due to, I would say, 2 components. One is the Canadian dollar more recently has strengthened against the U.S. dollar. So everything else being equal, when you're translating Canadian dollars back to U.S. dollars, you're going to have more U.S. dollar reported sales. The other thing that we're seeing is we actually look at our forecasted volumes for the balance of 2015 and production in each one of those platforms. Mix has changed a little bit to our favor, so that's adding some additional production sales compared to our previous forecast. When you look at Europe, I would say that it's really 2 components that are impacting the change in sales from our previous forecast. One is certainly interiors, which I talked about in my formal comments, and the other is foreign exchange. In terms of the overall reduced volume, it's not a significant impact to us, forecast to forecast, or outlook to outlook. In Asia, again, we've got $100 million of interiors. If you back that out, we're being hurt a little bit compared to our previous outlook as a result of FX and some lower volumes in the marketplace. So that kind of sums up what's happening on the sales side. On the operating margin side, we have moved our guidance up, and there's a couple of reasons for that. One, our previous outlook had interiors in, and you back out about $2.6 billion of interiors sales and you back out the margin associated with that, that has a positive impact on our consolidated margin. Our interiors business was operating and is operating at a margin percent that is less than Magna's consolidated margin. And as we've gone through one quarter and we look at our operations globally, we're a little bit more confident in terms of their performance for the balance of 2015. So we've moved up our guidance -- implicit in our -- move up in our margin guidance is some improvement in overall margins around the world.
Donald James Walker: And I would just add, John, that the volumes decline in Russia, we do have some business obviously in Russia, but it's not a big part of our business in Europe. So the decline in volumes due to Russia isn't having that much of an impact on us.
John Murphy - BofA Merrill Lynch, Research Division: Okay, that's very helpful. And then just a second question around the European margins, now that interiors has been or is being jettisoned, 4.75% to 5.25% for '16 on EBIT margins is a little bit higher than what you had been targeting before. Is that the target range? Or could we expect something potentially higher than that as a long-term target for European margins, now that interiors is going to be gone?
Donald James Walker: I haven't taken a look at the long range. I think we're doing -- I'm pleased with what's going on in Europe. We probably have to just take a look at that once we get through the interiors [Audio gap], update the business plan. We'll probably give an outlook further out on where the range might be going. So I -- we're still on track with what we said before. If you took interiors out, it's just the changes, which we've talked about. But overall, I'm pleased with what we're achieving in Europe.
John Murphy - BofA Merrill Lynch, Research Division: Okay. And then just lastly, I'm just curious if you could update us on where you are on the share buyback year-to-date. And if we think about the proceeds from interiors, it's going to create a balance sheet that's even less levered than it is right now. So I'm just curious where those proceeds would go and if they would go through a similar funnel in the capital allocation process? Or would they go straight to share buybacks or special dividends?
Vincent Joseph Galifi: John, with respect to the buyback, we haven't been purchasing shares in the first quarter. We've been out of the market as a result of working on our interiors transaction that we recently announced. So we've got a little bit of catch-up to do in terms of deploying capital. With respect to the proceeds that we're going to receive on the sale of our interiors business, well, we don't have perfect certainty of when that money is going to be coming in. But from our perspective, we're looking at, plus or minus, $500 million after tax to eventually go through the same funnel. But I would think that the way you should kind of picture this for 2015 is that, that $500 million is just going to be additional cash on the balance sheet, unless we invest it somewhere. And we'll run it through the same process for 2016 as we complete our business plans for '16, '17 and '18.
Operator: And our next question comes from the line of Jonathan Lambert [ph] with BMO Capital Markets.
Unknown Analyst: I just have a question on the interiors operations that were sold. In the press release, it states the purchase price for the operations, excluding certain assets, was $525 million. What were the assets that were excluded from the $525 million? And if they were also sold, did they have associated value?
Donald James Walker: Yes, what we've excluded is we've got some operations primarily in Europe, carpeting, for example, and a couple of other really small plants that we're going to be winding down or they are almost wound down, so we excluded those. And we have a joint venture in North America, which is not included in the transaction. There's a couple of other plants that are mixes with some interiors, exteriors, so we're -- they're very small, so they really aren't material.
Vincent Joseph Galifi: Yes. So Jonathan, what Don was clarifying is that when we look at our interiors operations, there's some small parts of the business that we're going to be retaining. Specifically to your question, when you look at the other assets and proceeds on that, there's some tooling assets that we're going to be able to collect on. At the time we kind of announced this transaction, so [indiscernible] assets of about $85 million. So as money is collected, it would be transferred to us. In terms of when we get to closing, how much that's going to be, I don't know. I don't know when this transaction, for sure, is going to close. But as those proceeds come in, we'll get to keep that cash over and above the $525 million. Is that clear, Jonathan, for you?
Unknown Analyst: Yes. So will there be a gain on the asset sale that would be subject to tax?
Vincent Joseph Galifi: There's going to be -- yes, there will be a -- when we look at the tax value of our investments and compare that to our proceeds, there will be a tax gain.
Unknown Analyst: Okay. I just had one other question. I noticed the North American industry light vehicle production was reported down 0.4% year-over-year. Ward's Automotive indicated that production was up 2% year-over-year. I was just wondering -- and it looks like some of the numbers that Magna provides were restated. I was just wondering if there has been any change to the way that Magna's reporting its industry production numbers?
Donald James Walker: Jonathan, I'll have to have a look at that. I mean we do, we certainly restate the numbers when there's revisions in the previous quarters, but I'll have to look a little closer at that.
Operator: And our next question comes from the line of Steve Arthur with RBC Dominion Securities.
Steven Arthur - RBC Capital Markets, LLC, Research Division: Just wanted to follow up on a couple of Q1 margin trends in both North America and Europe. In Europe, we saw a good step-up in margins to about 4% in Q1, even including the interiors business. Is that really a function of some of the older business winding off? Or can you talk about some of the drivers of that margin improvement in Q1?
Vincent Joseph Galifi: Yes. So you're looking at sequentially, Steve, or year-to-year, what do you want me to focus on [ph]?
Steven Arthur - RBC Capital Markets, LLC, Research Division: Both I guess. I don't think we've seen anything starting with a 4 before. So I think about 4% was a good step-up.
Vincent Joseph Galifi: Yes, I think when you look through sequentially -- sequentially is in front of me, let me just look at year-over-year before I respond to you. There is -- a little bit sort of the improvement is in lower -- both sequentially and year-over-year, lower launch costs year-over-year. But I -- commodity costs have been a little bit of a tailwind, but the biggest impact in Europe is the activities that we've been doing from a restructuring perspective and working on improving operating efficiencies. If you recall, we started this process 2 to 3 years ago. We've announced it, we've taken some charges. We've taken some actions, and we've always said it's going to take us time for those actions to actually start to deliver results. And if you go back and look at kind of 2014, we saw the benefits of some of those activities. And we continue to see more and more of those benefits impacting us positively throughout, I guess, in the first quarter, anyway, of 2015.
Steven Arthur - RBC Capital Markets, LLC, Research Division: Okay, good. So no one thing, but just all the actions you've been doing over the last couple of years?
Vincent Joseph Galifi: I -- that's -- yes, I look at it. It's just kind of got improvements in a whole bunch of areas, and it's all due to productivity improvements and restructuring activities paying off.
Steven Arthur - RBC Capital Markets, LLC, Research Division: Okay, and I guess, just following up on that. In North America, still very strong margins, but just below 10%, dipping down from the prior quarter again, and it's done that before in Q1. But was there anything specific in there that weighed on margins in Q1 at the plan to program level? Or is that just normal quarterly gyrations?
Vincent Joseph Galifi: Yes -- I think a couple of things that come up are just the level of launches in North America. When you look sequentially, Q4 to sort of Q1, there's more launch-related costs. And the other thing that's impacted us in Q1 is actually lower recovery on scrap revenues. It's sort of followed the market. Steel prices have come off quite a bit. So accordingly, scrap prices have come off quite a bit. And we sell, obviously, engineered scrap. We have different regions with different customers, but that's had a negative impact on a quarter-to-quarter basis, and that would have impacted margin negatively on a sequential basis. Steve, there's a whole bunch of [ph] other kind of puts and takes everywhere else but those are the items that sort of stick out.
Steven Arthur - RBC Capital Markets, LLC, Research Division: Okay. And just one quick final question. Just the metalforming JV from China announced earlier, that sounds quite intriguing. Any sense of the order of magnitude of revenue that this thing could generate or the margin structures for it? And is that JV structure something you're interested in pursuing further in addition to the plant additions?
Vincent Joseph Galifi: Steve, the transaction is expected to close, again, subject to approvals, at the end of '15 or kind of early 2016. And you look at kind of the impact for 2016, we're going to be consolidating an additional plus or -- additional -- I think it's over $300 million of sales, U.S. dollar sales. I'm not going to specifically talk about margins but the business that we're joint venturing and have control over is profitable. So it will be incremental to overall EBIT. In terms of kind of, do we do more of these types of arrangements in places like China or other places, it's all really going to depend. In this situation over here, our joint venture partner has some really good relationships with some customers, and it all makes sense to join forces; 1 plus 1 gave us 3 as opposed to 2. So if things like that do come up, we'll certainly be looking at them and potentially we may do some in the future.
Operator: [Operator Instructions] And our next question comes from the line of Dan Galves with Crédit Suisse.
Daniel Galves - Crédit Suisse AG, Research Division: Just following up on the metalforming JV. How are most of the automakers doing their stamping business in China? Are they doing it in-house like they do here in North America? Or is there more chance for kind of outsourcing of that activity in China?
Donald James Walker: There is a mixture. I think the -- if you look at the increase in production just generally, there is obviously it has to be more stamping capability. There is -- we see a pretty good opportunity to continue to grow. We're launching greenfield facilities, we're getting in the casking [ph] business over there, taking some new technologies, hot farming [ph] over there. So I think there's a pretty good opportunity to continue to grow. So we'll be doing a combination of greenfield, joint ventures. We'd consider doing a 50-50 joint venture, but quite frankly, much prefer to have something we can control. So it's a bit of a mixed bag, but we see good opportunities to grow.
Daniel Galves - Crédit Suisse AG, Research Division: Okay, got it. And then just on the overall organic growth of the company, up 3% in Q1. How big of a drag was the Chrysler minivan shutdown in Q1? And any color on how organic growth trends throughout 2015?
Vincent Joseph Galifi: So Dan, I think if you look at the Windsor plant, throughout 2015, it's about $0.25 billion negative impact to sales. And with respect to Q1, we're just trying to find the number, but it certainly wasn't of that magnitude.
Louis Tonelli: Dan, really it was -- the volumes were down about 30,000 units compared to last year, which is about $80 million in sales, so the bigger impact, I think, in the second quarter.
Daniel Galves - Crédit Suisse AG, Research Division: Okay, got it. Okay. And any color on how kind of growth x currency and x divestitures trends throughout 2015?
Vincent Joseph Galifi: X currency, well, I guess when you look at our outlook today -- if you look at kind of '14 to '15, there's 2 big pieces there. One is to the interiors business, about $2.6 billion. The other big impact is FX, which is over a $3 billion impact from '14 to '15. And then we've talked about previously that '15 is kind of a stepping stone into the exciting programs that we've got taking shape in '16 and '17. And recall back in January, again this was based on a bunch of volume assumptions and FX rates and things like that, and it had -- - still had interiors in, it didn't have this joint venture we just announced in China. But we talked about, from the end of '15 to the end of '17, in that 2-year period that sales were growing about $5 billion. So there's a lot of good things happening in '16 and '17. And we're kind of almost like pausing in '15 for the big rush of additional sales past 2015.
Daniel Galves - Crédit Suisse AG, Research Division: Okay, appreciate that. Let me just clarify, that $2.6 billion for interiors, so I guess, I was under the impression that the headwind would be 3 quarters, not the full year, is that incorrect?
Vincent Joseph Galifi: Dan, well, it -- assuming we sell at the end of Q3, the bottom line impact to net income, including discontinued operations, will be essentially only 1 quarter. But we're going to have to start to account for interiors as a discontinued operation -- held for sale discontinued operations. So as we report our Q2 numbers, we're going to restate Q1. We're also going to restate 2014. And we're essentially going to take all of interiors' activities on the income statement, sales, cost of sales, income taxes, you name it, and we're going to one-line it as discontinued operations. So as we report Q2 sales, you're going to see our consolidated sales is going to exclude our interior sales. But the bottom line results or performance of interiors after tax will be shown as a one-line item on our income statement.
Unknown Executive: Right at the bottom of the income statement.
Daniel Galves - Crédit Suisse AG, Research Division: Okay, that makes sense. So the 2015 revenue guidance includes nothing from interiors?
Donald James Walker: Correct.
Vincent Joseph Galifi: That's correct.
Operator: And our next question comes from the line of David Tyerman with Canaccord Genuity.
David Tyerman - Canaccord Genuity, Research Division: First question is on Europe and margin improvement that you're expecting for next year. It looks like it's going to be a pretty good step-up and, obviously, interiors is not going to be part of that. So I was wondering what are going to be -- what are the main drivers going to be? And are there any particular segments in the business that are going to see good [ph] improvement?
Donald James Walker: David, we've been talking about for, I forget now, 3, 3.5 years what would we want to do over a longer time period. So we're about on track. Last year -- the year before last, 2013, was a little bit higher than I anticipated. Last year, we had a bit of headwind. But it's a combination of: We've got repricing in some contracts; we've let some business run out that was poorly priced; we've made very good headway into fixing our losing divisions, although we have had a couple of big challenges, specifically in the interiors business last year and rolling through into this year. But for the most part, we're making very good headway there. And we've been really working hard on our efficiencies, world-class manufacturing and all the aspects here. So there's a lot of moving parts. But overall, we're just improving the efficiency of our business. And I think we've got better control of our quoting [ph] and better control of where we're making money and where we're not. And we're also closing some facilities down, we're almost all the way through that too.
Vincent Joseph Galifi: David, I just wanted to add some more comments to what Don just said. But if you recall, as we started working on our restructuring activities in Europe, we talked about exteriors and interiors. In interiors, we've got transactions in place [ph]. But with exteriors, some of the comments I made earlier in respect to the question, some of the restructuring activities that we have undertaken in our exteriors business, as those activities sort of come into play, we're seeing improvements in operating performance, and that's contributing to some of the growth that we've seen in margin improvements in the first quarter, and that will also contribute to margin expansion in 2016.
David Tyerman - Canaccord Genuity, Research Division: Okay, very good. That's helpful. And do you have a sense or can you give us a sense of where you think the business will be operating in 2016 in Europe? Will it be running pretty well, how you want to see it running? Or -- I know there's always room to improve, but at some point, it gets more and more difficult.
Vincent Joseph Galifi: Yes, David. We keep on referring to 2016 as kind of the year -- because if you go back 5 years ago, we talked about where we wanted to be in Europe, given the plans that we had in place and the actions we were taking. So we kind of put the line in the sand at that point. Yes, we've talked earlier -- previously about, as we move forward, we're probably just going to go out 1 year from an operating margin guidance. And what we said about Europe is, that's where we want to get to in '16 based on our business plans, but certainly that's not the end. We're always going to continue to focus on improving our overall efficiency, continue to quote in a disciplined way. So I think there's opportunity to continue to expand margin, but we haven't given any color to what margins could be past 2016.
David Tyerman - Canaccord Genuity, Research Division: Okay, good. And just lastly on the Asia-Pacific. The margins were very strong in the first quarter. And unless they're going to fall off quite a bit in the rest of the year, you're going to be up a lot more than just slightly. Just wondering if you could comment on that.
Vincent Joseph Galifi: I mean, the margins by quarter can move around a lot. I mean, as we've said in the past, David, the -- in Eur -- in Asia, where they -- where the numbers are pretty small. you have $5 million or $6 million of launch or new facility costs in a quarter, it can add up in a hurry and it change the margins quite a bit. So we're still comfortable with the range that we gave. I just said it was a good first quarter, but it doesn't take much to move the number around throughout the quarters of the year.
Donald James Walker: So overall, we're pretty pleased with what's going on in Asia.
Operator: And our next question comes from the line of Rod Lache with Deutsche Bank.
Patrick Nolan - Deutsche Bank AG, Research Division: It's actually Pat Nolan on for Rod. Most of my questions on the quarter have been asked -- answered, so I thought I'd ask a couple of longer-term questions. The first one is, one of your major customers just recently made a lot of headlines talking about the waste in the industry, particularly a lot of the duplicate investment the industry makes, particularly for things like powertrains. Seems like if x major consolidation, one of the ways for the industry to get around this, would be put some of this investment on to the suppliers and have them produce some of these larger components, therefore, spreading the R&D among multiple customers. Do you see that as a possible trend in the industry over the next couple of years? Things like either powertrains or transmissions moving more towards the supply base? And does that change your strategy, either from an organic perspective or as far as M&A, going forward?
Donald James Walker: Yes, that's a big question. I think the overall trend of consolidation of the tier 1 supply base is going to continue for a couple of reasons. #1, they want everybody to be global. #2, the suppliers are being asked to get involved much earlier in vehicle programs, partly to get the new technology and help to define the vehicle, et cetera, et cetera, but part of that also is getting in way up front and being able to influence things like a powertrain. I think the -- everybody will have their own strategy, but long term, I believe that most carmakers will continue to outsource things they don't see as being critical. They may have pressure from a labor standpoint or whatever, but if a car company tries to do everything themselves and they can't spread the R&D and sometimes the investment in the volumes over a much bigger volume, they end up paying more money. So I think the trend in lots of different areas, especially in developing new technologies or things like powertrain, where you can have some commonality in parts or maybe even complete big chunks of a powertrain, I think you'll continue see it outsourced. I think you'll see the big players getting bigger and the big players probably investing more capital. But the people who are in the industry, I think, very well understand they need to get appropriate levels of return on invested capital. And we're doing a lot more R&D in these areas. So I don't have a very specific answer, but I think your assumption is probably very accurate. And I think you'll see the supply base probably continuing to grow their content per vehicle over the next foreseeable future because of the trends.
Patrick Nolan - Deutsche Bank AG, Research Division: It's very helpful commentary. Can you -- just as a follow-up from that, given the changes in the business portfolio with the divestiture of interiors, how do you think about what -- I know it's hard to say what normal is, but what a normalized kind of cap -- capital spending to sales is for the business? I know it's elevated this year and probably next year, given the pretty significant launches in new business you have, but what do you think the kind of the adjusted normal is for your new business mix?
Donald James Walker: Very hard to tell, and the reason I say that is because we can pretty well predict what it's going to be for a specific area, because some areas of the business are more capital-intensive than others. So it will depend on what the percentage of our sales are by product area. Console [ph] tends to be pretty heavy capital. Powertrain is pretty heavy capital. Some other businesses are less. So I can't give you any clarity because I'd have to have a model that says how big each of our business units is going to be in the future. I think $1.5 billion, plus or minus, for the next couple of years is probably like a good guess. But if we continue to grow in some areas that we think we can get good returns and they are heavy capital, then our capital may go up as a percentage of sales. But I think for modeling purposes, that's the number you should be using. And I think, just I didn't answer the one question about, will it be a tendency of the car companies to get together and bundle, either do common sourcing of components or systems or functional systems in a vehicle? I think there is some of that going to happen. They have tried it in the past. It becomes very difficult because differences of opinion. But I do believe there's more interest by the carmakers now to say, "Listen, if we can use a common part, get bigger volume and get a lower price" for something that's not -- doesn't have to be specific. Whether it's for a specific part or something like high-pressure die cast, this is an area to say "we want to work together," so to convince somebody to put a big investment in. We're seeing more of that going on. I don't know how big it will be, but I think there's more analysis and interest by the carmakers to say, "Look, why not work together if that makes financial sense for both of us?"
Operator: And our next question comes from the line of Rich Kwas with Wells Fargo.
David H. Lim - Wells Fargo Securities, LLC, Research Division: This is David Lim for Rich. Vince, I think you mentioned a little earlier that you had some catching up to do when it comes to the share buyback. Does this mean -- does that mean that you'll be more aggressive in the remaining quarters of this year?
Vincent Joseph Galifi: Yes, I guess, that the -- we weren't able to get into the market in the first quarter. Actually, we're already in May and we haven't been able to get into the market. So we plan to get to our target structure. We've talked about the 1x to 1.5x. So on the basis that there's no acquisitions, then I've got some catch-up to do. We've got some catch to do. If it's just investments that we're making, then we can catch up that way. But we are certainly, based on kind of business going on and business needs, we'll time when we get into the market and how much we buy in each particular quarter.
David H. Lim - Wells Fargo Securities, LLC, Research Division: Got you. And then, on the guidance, thanks for the clarity, but I was wondering if there could be -- or if you guys could provide some direction relative to the interiors revenue contribution in Q1 for Ford modeling purposes for Q2 to Q4?
Donald James Walker: Sorry, repeat that again.
David H. Lim - Wells Fargo Securities, LLC, Research Division: Yes, yes, yes. Simply, what was the -- yes, yes, interiors contribution to Q1 in revenues?
Donald James Walker: About $2.6 billion. We could probably give you that, about $2.6 billion for the year. So it's not going to be that far off, quarter of that.
Vincent Joseph Galifi: It's -- David -- I don't -- I'm not sure we've got that readily available right now.
David H. Lim - Wells Fargo Securities, LLC, Research Division: Okay. And finally, on the ADAS front, any kind of incremental news there for you guys? Wins? And what products do you specifically offer in that particular area?
Donald James Walker: Nothing earth-shattering change. We're very big in vision. We're using camera-based vision for using the surround view as well. We've just recently invested in a couple of technologies we think are very interesting. So we continue to look at where we think the market is going, what technologies do we need for that. I won't get into specifics of what technologies we've got, but nothing material that's new. But we are certainly working very hard at looking at what technologies we need and how you combine them to be able to accomplish what our customers want.
Operator: And our next question comes from the line of Ryan Brinkman with JPMorgan.
Ryan J. Brinkman - JP Morgan Chase & Co, Research Division: Most of my questions have been answered. Maybe just one on the portfolio of businesses. With the interiors sale, it's another example of rationalized portfolio after the battery sale. I think we're clear on the motivation for selling interiors. Can you just talk a bit about the decision to exit the battery business? And then, are there other businesses you're looking to dispose? What are the criterion you consider when deciding whether to be in or not be in a business? Is it primarily ROIC or cash return-driven? Or do you look at things like revenue growth, potential EBIT margin, what do you look at?
Donald James Walker: Yes, let me answer the battery pack business. We decided to get out of battery packs because our opinion is if we're going to be in batteries with cells, which is lithium-ion cells, there's some really big players in there. I think there's been overcapacity in that industry, specifically thinking that electric vehicles may take off faster than they are. But we do not want to be in a lithium-ion cell business. Based on that, we had a working relationship with Samsung. It wasn't exclusive, but we had a very close relationship with them. A lot of the big battery players, in my opinion, including Samsung, were going to expand and say "we can make the cells, but a logical extension is to make battery pack." So they can understand the brains and how it interfaces with the vehicle. We also saw a number of our customers saying, "Well, we won't make cells, but we may want to have an understanding of how to do a pack and how to integrate it in the vehicle," which is very complicated. That's what we did. So we had a good business, Samsung wanted it, they needed it. They wanted to get into. It really sped up how fast they can get in the battery pack. It wasn't strategic to us. My opinion is, long term, we would have gotten squeezed there. So it was a good opportunity and good timing to sell the business. As far as other things we're looking at, we've mentioned we sold off a couple of small businesses, and we've made a couple of acquisitions as well. So we're not going to talk about publicly what our strategy is. But the interiors business was a significant business sale for us. The other things we will build -- we may deal with would be smaller. And quite frankly, I'd rather be buying businesses rather than selling them. But the criteria is a combination of where do we think we're making the most -- the best return on invested capital. So where are we growing value for our company and what are the areas that we're investing money and just not getting the returns? That's a big part of it. And revenue growth doesn't make much difference to me, quite frankly. I'm more interested in how profitable it is and what the return on investment is. The other thing we're taking into consideration is what technologies do we need to have to really succeed in the long term? Do we have them in the business units or not? And with our customers, we're getting very good dialogue and feedback on where they want to see us grow and where they say, "It'd be nice to grow, but we don't really need this." So if it's a me too business or a commodity, then we want to get out of them. So it's a combination of a number of different things.
Operator: And our next question is from the line of Patrick Archambault with Goldman Sachs.
Patrick Archambault - Goldman Sachs Group Inc., Research Division: I just wanted to actually follow up on that last one. So you said you're more interested in growing than trimming businesses, which makes a lot of sense. Now that you've taken out some of the complexity, maybe even unnecessary complexity in your portfolio and have a more core group, can you just remind us of what businesses you would like to expand? What you would like to get into? Overall, just reminding us what your acquisition strategy is, given your very strong balance sheet.
Donald James Walker: Yes, I'm going to give you a fairly generic answer. I'm not going to do specifics. But we have spent a lot of time, and we talked at the Annual Meeting today about what we think the car of the future will look like. We talked about a lot about autonomous driving, so we are spending money in there. However, I think the returns on some of the technologies are fairly far out. So we are growing our electronics business. We've probably got, I don't know, 1,000 electrical engineers in our company. So electronics impacts a lot of our product areas. But as far as what we're specifically doing in driver assistance, for example, we want to take our camera, which we're already a leader in, and figure out what we can do for distance sensing, things like that. But our core business is, and you can look at it, we are very strong in body structures, metal. We're seeing a lot of requests and demand from our customers to expand globally. Powertrain is a very interesting area for us and electrification of powertrain, downsizing, reducing efficiency -- losses, increasing the efficiency. We're not one of the bigger players in seating, but seating is doing very well for us. We're seeing a lot of interest and growth. Mirrors were the biggest. Closures were very big, so we've got a good position there. So we're growing in Steyr also, just a bit of a down year for Steyr, but we think Steyr can be a very valuable business on its own. But the spin-off benefits to us is very good. Exteriors, we're very big in North America, we are expanding that. So we have a lot of smaller product areas which we have to make a decision in. But for the most part, the big ones we're in, we're seeing good growth. And if we continue to see good growth and return on funds employed, then we'll continue to grow in it.
Patrick Archambault - Goldman Sachs Group Inc., Research Division: Now that's a helpful overview. If I may, in terms of size of acquisition, can you put parameters over what you would be comfortable now with just given your very strong balance sheet?
Donald James Walker: I'm always nervous about putting a parameter because it always seems to get printed in the paper, as though that's what we're going to do. But we have done a couple of small ones. We have the ability to do a sizable acquisition. I'm not going to say a number because somebody is going to quote me in the paper. But if you look at what Vince has walked through, our target on our debt to equity and how much cash we've got and how much we can -- we could use, you can do the math and you can figure out. We could spend a lot of money without risking -- without overextending our balance sheet. So it could be a very sizable acquisition. We're not going to do something for the sake of doing it. But if it looks good, great technology, we think it's good, going to create value long term, then we're -- would be happy to pursue a good opportunity.
Patrick Archambault - Goldman Sachs Group Inc., Research Division: Understood. And just one last follow-up, if I may. Just on the F-150, that's been obviously a theme of earnings, one of those big programs that should hopefully pick up as a tailwind as we progress. Can you remind us of -- I mean, a big program for you guys, what's the content on the new ones versus the old F-150 that's being replaced?
Vincent Joseph Galifi: Yes, on the F-150, we're actually down in content, so about $450 on the current one. We lost some business, and we gained a little bit of business, but net-net, we're down. We have more content on the F-Series Super Duty where we're about $1,200.
Patrick Archambault - Goldman Sachs Group Inc., Research Division: Got it. And sort of orders of magnitude, is it significant cut or kind of $50 or something like that?
Vincent Joseph Galifi: Sorry, what's that?
Donald James Walker: The drop in content.
Vincent Joseph Galifi: It dropped about $200.
Operator: And our final question on the telephone lines comes from the line of Richard Hilgert with Morningstar.
Richard J. Hilgert - Morningstar Inc., Research Division: Just wanted to focus in on the adjusted EBIT numbers geographically. You had a nice change in North America despite just about a 1% increase in revenue; Europe, only off just a couple of million despite the mid-teens decline in revenue. Was there something about the currency mix that , so in terms of what's helping us, look -- if you look at where we were helped support the margin? Or is this just purely the basic blocking and tackling, cost cutting, et cetera?
Vincent Joseph Galifi: Yes last year in Europe in the quarter, we reported adjusted EBIT of $127 million. We're $124 million at the end of Q1 of '15, so essentially the same, with lower revenue. So if you kind of look at the ins and outs, a big negative, Q1 '14 to Q1 '15, it's foreign currency translation. That impacted production sales by over $600 million and EBIT about -- probably about $30 million. So where we made all that up and I went through some of that earlier was -- the biggest piece of that was essentially productivity and efficiency improvements throughout Europe, and in particular, some of the paybacks of the restructuring activities that we've been undertaking over the last couple of years. So x FX, on a year-over-year basis, our EBIT would have been up in Europe as opposed to being flat.
Richard J. Hilgert - Morningstar Inc., Research Division: Okay. North America, the Canadian dollar there, also helping margin?
Vincent Joseph Galifi: The Canadian dollar weakening is actually hurting reported EBIT. Remember you take your -- we're essentially hedged out for 2015 in Canada. So there isn't foreign currency transactional -- much foreign currency transactional exposure in Canada. So essentially we've got Canadian dollar income statement in Canada, where we have sales and we do have profit. So when you translate that back into U.S. dollars at different exchange rates than what was in place in 2014, that hurts sales and also hurts reported earnings. Margins should be neutral because it's just a straight translation, but EBIT is adjusted down negatively as a result of translation.
Donald James Walker: If you look year-over-year and you back out the impact of FX, we actually have pretty good growth and that's due to launches, new launches, and we had pretty good pull through on that growth in sales.
Richard J. Hilgert - Morningstar Inc., Research Division: Okay, great. And just so I'm clear on this. You're including the interiors business in the results for the first quarter. You're excluding the interiors business for the full year guidance. And then you'll restate the first quarter once you report the second quarter results with interiors on a disc ops basis, is that right?
Vincent Joseph Galifi: That's correct. You're right. And we're also going to restate 2014. We're just working on the -- as you can imagine, we're trying to -- we're working on carve out statements for our interiors business, and it's pretty complex, so we'll have that all wrapped up by the time we report Q2. And from an accounting perspective, since this transaction wasn't signed until after the end of Q1, the proper accounting treatment is to show the discontinued op in Q2, and that's when we sign the agreement with Grupo Antolin.
Donald James Walker: And we thought it made sense to make -- to have the outlook look the way you're going to see the results reported in Q2. Great. Okay. Appreciate everybody joining us today. I think we've had a good start for 2015. We're optimistic about the future, and enjoy the rest of your day.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.